Operator: Good day. And welcome to Curaleaf Holdings’ First Quarter 2020 Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Daniel Foley, Vice President of Finance and Investor Relations. Please go ahead.
Daniel Foley: Thank you. Good afternoon, everyone. And welcome to Curaleaf Holdings’ first quarter 2020 conference call. Today, I am joined by Boris Jordan, Executive Chairman; Joe Lusardi, Chief Executive Officer; Joe Bayern, President; Neil Davidson, Chief Operating Officer; and Mike Carlotti, Chief Financial Officer. Earlier today, we issued a press release announcing our results for the fiscal quarter ended March 31, 2020. These press releases are available on our website under the Investor Relations section and filed on SEDAR. Before we begin, I would like to remind you that the comments on today’s call will include forward-looking statements within the meaning of Canadian and United States securities laws which, by their nature, involve estimates, projections, plans, goals, forecasts, and assumptions including the successful completion of announced acquisitions and the impact of COVID-19, and are subject to risks and uncertainties that could cause actual results or outcomes to differ materially from those expressed in the forward-looking statements on certain material factors or assumptions that were applied in drawing a conclusion or making a forecast in such statements. These forward-looking statements speak only as of the date of this conference call and should not be relied upon as predictions of future events. We undertake no obligation to update or revise any forward-looking statements, whether as a result of new information, future events, or otherwise, except as required by applicable law. Additional information about the material factors and assumptions forming the basis of the forward-looking statements and risk factors can be found in the company’s filings and press releases on SEDAR and the Canadian Securities Exchange. During today’s conference call, Curaleaf will refer to non-IFRS measures that do not have any standardized meaning prescribed by IFRS such as pro forma revenue, adjusted EBITDA and managed revenue, the definitions of which may be found in our earnings press release. Please note that all financial information is provided in U.S. dollars, unless otherwise indicated. With that, I’d like to turn the call over to Executive Chairman, Boris Jordan.
Boris Jordan: Thanks, Dan. Before we begin, I would like to officially welcome Mike Carlotti, our new Chief Financial Officer. Mike joined the company in February, taking on the CFO role as Neil Davidson was appointed Chief Operating Officer. Mike is a seasoned financial executive who has already added great depth and leadership to our team and will provide our financial overview and outlook going forward. I want to begin by highlighting the extraordinary efforts the entire Curaleaf team has expended in navigating the COVID-19 environment so far. We have successfully kept our employees and customers safe, while continuing to serve the communities where we operate. We have been relentlessly focused on taking all necessary steps to adapt our business to this evolving situation and our record results in such a trying time demonstrate our continued emphasis on excellence in execution. I am incredibly proud of the entire team’s response in stepping up to the challenge and I am extremely pleased with our overall performance thus far. Our ability to deliver profitable growth is also a reflection of our diversified portfolio of assets. Curaleaf has exposure to some of the best cannabis markets in the country and our portfolio will only strengthen with the inclusion of Grassroots. At this time, the principals have resolved all outstanding matters and are currently working to complete the transaction. We have made substantial progress on regulatory approvals and the transaction is expected to close by the end of the second quarter. Grassroots is a strong market leader throughout the Midwest with an affiliate portfolio of approximately 63 dispensary licenses, including 33 operational today and 23 cultivation and processing licenses. Importantly, Grassroots has a leading presence in large markets in which Curaleaf does not operate, strategically accelerating our continued expansion across the nation. Illinois and Pennsylvania, which are among the largest and fastest-growing cannabis markets in the US, are the most significant immediate opportunities. Well, Grassroots brings the Curaleaf brand to Arkansas, North Dakota, Vermont, as well. The combination is also complementary to our existing business in seven other states, giving us more scale and operating leverage in major markets, such as Arizona, Maryland, Michigan and Ohio. I am also encouraged by the integration of our recent acquisitions, most notably Select. We have been working diligently to expand and vertically integrated Select, as we look to structure the business for lasting and profitable growth. The brand is seeing an acceleration in legacy markets even as we enter new ones and Select is now on the shelves in Oklahoma, Michigan, Maryland and Colorado, with plans for Connecticut, Florida, Massachusetts, New Jersey and New York. Select products are already available in approximately 800 independent dispensaries across six states and company-owned stores in three additional states. By year-end consumers will have access to Select in 15 states, including in over 70 Curaleaf-owned dispensaries and we expect to continue this aggressive rollout in conjunction with the pending Grassroots transaction.  Select is the perfect complement to our in-house wellness and will allow us to engage a wider spectrum of customers, particularly in limited license markets. Select is rapidly becoming the first true national adult use brand, yet we are only beginning to see the full potential here. The white space that exists for brands in cannabis is enormous and we intend to leverage our industry-leading scale to maximize this opportunity. We have also successfully integrated Arrow Alternative Care and immediately making Curaleaf the leading cannabis retailer in Connecticut and fulfilling our vertical integration objectives in that market.  On the regulatory front, the essential designation we received in all markets where we operate has been a welcome validation of our business. We are pleased that many state governments explicitly recognize the vital role that cannabis plays in the health and wellbeing of our citizens and as a significant economic driver to their states. I’d like to take this opportunity once again to thank the governors and their hardworking staff for their leadership, commitment and for their tireless efforts during this tough time. Their support has been critical in helping ensure that our customers can access the cannabis products they have come to rely on without interruption.  That said, COVID-19 became a headwind in Nevada and Massachusetts late in the first quarter and into second quarter. On March 21st, the governor of Nevada limited dispensary sales to delivery only. In response, we quickly added home delivery capabilities allowing us to continue to serve our local customers. On May 1st, Nevada approved curbside sales, which we immediately implemented successfully, and finally on May 8th, customers were able to reenter dispensaries as part of the state’s phase one reopening directive. We continue to service customers through curbside, delivery and pick-up operations in Nevada, and given our business has a strong local following, our operations have held up relatively well. However, Nevada’s full potential will not be realized until Las Vegas tourism rebounds. On March 24th, the Governor of Massachusetts issued an order temporarily closing all adults use dispensaries due to the Coronavirus while allowing the state’s medical dispensaries including ours to remain open. Since then we have seen strong growth in medical sales driven by 245% increase in patient registrations. But the lack of adult sales since March 24 has been a significant setback. Recently, Massachusetts announced that adult use cannabis stores will reopen and we believe there is tremendous pent-up demand in this market. With these restrictions behind us, we look forward to very significant profitable growth. Joe Lusardi has been instrumental in these developments and I want to recognize extraordinary leadership that Joe and our government affairs team showed in working to ensure adult use cannabis was included in the first phase of the state’s reopening. At the federal level, the SAFE Banking Act was included in the newest Coronavirus relief bill and we are encouraged by the bipartisan support for Canada’s reform in the House of Representatives. Curaleaf and the industry are going to fight hard to hold this gate in the Senate but there is much work to be done. Cannabis is an industry still only in its early days yet it employs over 250,000 American workers and generated over $1.9 billion in state and local tax revenue in 2019. New frontier estimates that if marijuana were legalized at the national level today, roughly 782,000 new jobs would be created, growing to 1.1 million by 2025. Federal legalization, it is estimated would generate a $131.8 billion and total tax revenue between 2017 and 2025. It is time for the senate to recognize cannabis is here to stay and that the industry wants the modifications that will allow it to achieve its full potential. Before reviewing the quarter one results, I would also like to highlight how COVID-19 is impacting the way we interact with customers. Curaleaf is responding to patient shifting preferences by further expand delivery online and mobile capabilities, moving experiences beyond the traditional brick-and-mortar. Enhanced online purchasing including recent introduction of debit based transactions in several markets, streamlined the in-store transaction process and enhance basket size even as we socially distance. We are seeing robust growth at online commerce and we will continue to invest in improving our online presence. Turning to our financial results, in quarter one, we delivered the highest quarterly pro forma managed revenue and adjusted EBITDA in company’s history. Pro forma revenue of $147 million reflects the power of our platform and leadership position in the sector. Managed revenue which includes Select as acquired on February 1, 2020 grew 29% sequentially to over $105 million. The $20 million of adjusted EBITDA we delivered in the first quarter represents 77% of total fiscal 2019 adjusted EBITDA, demonstrating the operating leverage present in our business as we rapidly scale. Michael will go into greater detail about our results and future expectations but I am very pleased with our business. Importantly, these results were delivered despite losing substantially all of our revenue in Massachusetts, in Nevada for the last two weeks of March. Not only are we delivering strong profitable growth, but we have a solid balance sheet with over $176 million of cash on hand at the end of quarter one to invest on our organic growth and strategic acquisitions. Looking ahead, we will continue to implement a disciplined capital allocation strategy focusing on high return projects that will be most accretive to our diversified position. We are already seeing exciting opportunities to fuel additional growth as the cannabis space continues to consolidate and states announce expanded initiatives. In addition to our cash position, we also have substantial unlevered real estate and my partners and I remain committed to the funding up to $100 million for any particularly attractive opportunities that may arise in this cash constrained environment. Many of you know that I have been involved in investing and developing businesses in emerging markets for over 30 years and I use these experiences as context when I look at the evolving cannabis sector. The road has been bumpy perhaps more than originally anticipated, but this sector presents a rare opportunity to create significant value and I am optimistic as well on Curaleaf and the industry. I reiterate that I have no plans to sell a single share of Curaleaf and I remain fully committed to the growth and success of the company. I will now turn the call over to Joe.
Joe Lusardi: Thanks, Boris. Before I go into the details of our business, I would like to thank Curaleaf’s President, Joe Bayern, our management team and all our employees for their leadership in navigating and adapting to the very difficult circumstances of the last few months. I have never been prouder of our people and our progress. In addition, I want to once again thank our customers across the country for their continued support of Curaleaf. We remain confident that we will continue to manage our company effectively through the duration of COVID-19, the support of regulators, state leadership, our dedicated employee base and critically the support of our customers. As Boris mentioned, we were deemed an essential service along with every state in which we operate and the fundamentals of our business remains strong. By and large, we have maintained consistent philosophy throughout the centuries except in Nevada and Massachusetts, which temporarily prevented normal operations. However, the outlook in niche states, as well as nationwide is now more encouraging as we focus on gradually lifting the restrictions that were put in place in late March. The Curaleaf supply chain remains strong. We continue to collaborate with vendors and are confident that we will continue to have access to needed supplies of the global economy begins to restart. We have implemented and maintained guidelines such as social distancing, increased sanitation and hygiene measures and have utilized technology solutions to help minimize unnecessary customer and employee interaction and contact. We continue to employ curbside pickup, delivery, mobile pre-ordering, express pickup and in new ways of ordering technology apps to protect the health and wellbeing of our employees and customers, all of which have been -- become embedded standard technologies in our business with strong future application potential and have served as a leading example not only for our industry, but for other essential service retail environments. We remain firmly focused on operational excellence to drive both top and bottomline results in 2020. Overall, our operations continue to scale and key states continue to become more self-supporting, yielding increased amounts of operating cash flow. As we have demonstrated in the strong first quarter results we posted today that are indicative of the underlying strength of our business. With the continued dedication of our management team and employees, coupled with the gradual relaxation state restrictions, I have no doubt that Curaleaf will emerge from this situation as a true leader in the cannabis industry. Organically, we expect to add an additional 17 Curaleaf dispensaries across five states and expand our cultivation by approximately 200,000 square feet of canopy all by year-end. When coupled with our strategic acquisitions, including the pending Grassroots deal, our reach will grow to more than 100 dispensaries across 22 states by year-end. Ultimately, we expect to grow our operations in nearly 140 dispensaries and 2.3 million square feet of cultivation space. This will make Curaleaf, the most well-diversified, vertically integrated cannabis company in the United States, with access to really two-thirds of the entire U.S. population. Turning to a recap of first quarter operations and our significant progress in key states. In Florida, we are intently focused on optimizing and expanding our cultivation capacity to drive market share gains in this key state. Towards that end, we are aggressively expanding capacity at our Mount Dora cultivation facility. Construction on the first indoor expansion of the facility has remained on schedule with the anticipated completion by this July. This new 50,000-square-foot indoor building, combined with further ongoing expansions within the existing footprint of our 278,000-square-foot Glendale Greenhouse will more than double our canopy. This will allow our supply chain to catch up to the robust flower demand that exists in the market and support new dispensary openings. In addition to our 28 stores, we offer state-wide delivery in cash and debit transaction capabilities. We have 12 new stores in various stages of development. We expect to finish the year with a total of 40 stores, giving Curaleaf a presence in every major population center in Florida. With over 330,000 active registered patients in the state and over 10,000 patients a month registering for the program, Florida remains one of the fastest-growing medical cannabis markets in the country. Given sales trend data seen in the DOH weekly data, we anticipate further deal of $1 billion market this year. With substantially increased COVID issue capacity and a new wave of store openings, Curaleaf is well-positioned to gain market share now and to capitalize on the immense long term opportunity in Florida. In Massachusetts, we have implemented cash and debit transactions and have continued to serve patients at our two medical stores in Hanover and Oxford. We are eager to reestablish our leadership position in the adult-use market, which was expected to open this month. While our operations were impacted by the governor’s order to temporarily close all of adult-use dispensaries, it is important to highlight the significant opportunity that exists in Curaleaf’s home state. During the quarter, we opened two adult-use stores, Provincetown in January and Ware in March. Combined with our existing adult-use dispensary at Oxford, this means three of only 44 adult-use stores in the entire state are Curaleaf stores. Only one of the operator, Alternative Therapies Group has opened three adult-use stores in Massachusetts. Beyond our leading retail position, we are perhaps even more enthusiastic on the wholesale market. Despite state mandated foreclosures at the end of the quarter, adult-use sales were over $150 million in Q1, almost 50% higher than Q1 adult-use sales in Illinois. Curaleaf is one of only 28 companies in Massachusetts with an active cultivation license. We continue to harvest on schedule from our existing 50,000 square foot facility and begin construction of an additional 50,000 square feet of indoor space that is expected to come online in July. This will give Curaleaf 100,000 square feet of high quality indoor capacity in the state according to cannabis benchmark has the highest flower price or power of any state in the country. Meanwhile, we continue to work with regulators to close our transaction with Alternative Therapies Group, which for now have been included in average revenue but will ultimately be moved to wholesale revenue once we close on the acquisition of ATG’s cultivation and processing assets. We remain extremely optimistic about our overall prospects in the adult use market in 2020 and beyond. New Jersey, where Curaleaf has historically held over 35% market share our team has once again produced record quarterly results. Our 12,000 square foot dispensary has continued to safely and effectively lead strong patient demand. During the first quarter, we completed construction of an additional 7,200 square feet of Central Metro [ph] cultivation capacity at the [inaudible] facility. We expect our first harvest on this supplemental facility to be ready in mid-June giving further near-term growth. On both the retail and wholesale front, we remain the largest provider in the state of 9 million mind residents that crucially seems poised to legalize adult use on the November 2020 ballot. Last year, the legislature formally approved a ballot measure in the Monmouth University poll in late April found the measure in 61% voter support. With strong growth in the medical program and adult-use on the horizon, we are actively building on our market leading position. We expect to open at least one additional dispensary by yearend for which we secured a site and are working through regulatory approval. We have also secured a 100,000 square foot warehouse plus 68 acres of land, which will become a state-of-the-art production facility later this year, creating hundreds of new jobs in this case. Finally, we are actively working through the process of converting our operation to a for-profit entity and expect to complete this process in June. Moving on to New York, the first quarter our retail operations achieved over 25% market share according to state tax dollars. With 10 licensees in the state, the share piece has more than doubled our fair share even before factoring in our significant wholesale volume. In February, we launched CuraChews into the market, the first chewable gel product in the state. During April, we saw extremely strong demand for our curbside pickup and delivery options, helping drive our 40% retail growth from January to April alone. We have also implemented a cash flow debit offering for our patients. While the Coronavirus slowed momentum for adult-use legalization and legislature this year, we remained well-positioned to service the needs of our medical patients and adult-use customers should legislation be enacted. While other vices, indeed, are either reducing operations or hopping operations in New York, Curaleaf, on the other hand, has opened the maximum number of retail locations and a fully built-out 72,000-square-foot production facility and remains poised to capture house-to-house market share as the program expands in the state of 90 million residents. In Maryland, Curaleaf remains one of the only vertically integrated operators with the state-wide maximum four dispensaries. We have continued to serve patients on our four stores and implementing the cash and debit transactions and have seen significant progress, improvements on our production facility since we acquired the asset last year. In fact, first quarter yields more than double compared to the prior year. Maryland has a strong medical program and a state-wide Q1 sales of over $90 million and we are optimistic that our vertical platform and robust retail fleet will allow Curaleaf to continue to drive market share gains. Moving on to Connecticut, in early we closed the acquisition of Arrow Alternative Care. With this acquisition, Curaleaf overnight became the leading retailer in Connecticut, with three of the state’s 18 operational dispensaries in the largest metro areas in the state, Hartford and in Northern Tri-state metro quarter, Milford and Stamford. Combined with our existing 60,000 square foot production facility in Simsbury, which is one of only four production facilities in the state, Arrow helped us achieve our goal of becoming vertically integrated in Connecticut and has been immediately accretive to our margins. On the legislative front, we are seeing growing bipartisan support for adult-use legislation and they are optimistic that adult-use cannabis will be a reality in Connecticut by the end of 2022. In May, we continue to provide management services to two of the eight medical license holders while positioning Curaleaf to be a leader in the adult-use market when it launches later this year.  We intend to open the maximum of four adult-use retail locations early in the program, with locations secure and in development, while expanding production capacity in our current vertically integrated medical operations. Additionally, we continue to work with regulators to convert our remaining medical entity before profit operation after securing our first approval recently, made strong support of cannabis and sizable tourist market bode well for growth in 2020. In Ohio, we are scheduled for a final inspection later this month for our Johnstown cultivation and processing facility. The facility is fully developed with construction complete and includes the maximum allowable cultivation of 25,000 square feet, plus processing square footage that will allow us to deliver nearly 12,000 tons of flower per year, bringing a full breadth of products in the market. Ohio’s medical cannabis industry is still fairly nascent and we are excited about Ohio, the nation’s seventh most popular state with 11.7 million residents. In Pennsylvania, we were awarded one of the first seven clinical registered licenses, allowing us to open a total of 6 new dispensaries and 50,000 square feet of cultivation capacity in the state. This award coupled with our pending Grassroots acquisition will make Curaleaf a leader in one of the fastest growing medical markets in the nation. Now I want to take some time to touch on our West Coast strategy. In California, we continue to harvest on schedule at our cultivation facility in Salinas and meet our manufacturing targets at the Select processing facility in Sacramento. Given California’s robust illicit market, unfavorable tax regime and struggling dispensary operators, we are addressing this market in a thoughtful manner that recognizes its unique challenges. Operational excellence, disciplined pricing and tight receivable management will be our priorities, as we expand the Select family of products to include gummies, live resin, and tinctures. We also just signed HERBL, California’s largest cannabis distributor and supply chain cash solution company as the exclusive distributor of Select products in California. This partnership will allow for an increase in deliveries, expand the customer footprint, a more cost-efficient delivery method and opportunity for continued growth, bringing Select to more than 850 licensed dispensaries and delivery partners across the state. In Nevada, we are pleased that the state reopened retail dispensaries to customers on May 8th, while allowing curbside delivery and pickup to continue in parallel. On the cultivation side, we continue to operate on plan in our three production facilities in the state. Despite our focus on local residents, the pace at which tourism rebounds over time will be a key sales driver for Curaleaf in Nevada. We closed on the acquisition of Acres Cultivation in late 2019 and are working to increase the productivity of those assets, allowing us to backward integrate Select into our supply chain. A renewed emphasis on the wholesale market with the upcoming launch of new Select product including gummy, live resin and tinctures will allow us to achieve full potential of the brand. In Arizona where Curaleaf holds more licenses than other company, our eight stores have seen extremely strong revenue growth in 2020, with monthly retail revenue increasing nearly 35% from January to April. Since March, we have implemented cash flow distribution at our store, as well as delivery. In Q1, we also doubled our canopy in our 100,000 square foot facility in Auckland. With a focused on improving gross margins and free cash flow through vertical integration. Arizona continues to be one of the largest cannabis markets in the U.S. with over 230,000 registered patients or 3.3% of the state’s population. We will remain confident residents will vote to approve adult-use on November ballot. Select is already a leading brand in Arizona and we plan to win additional market share as further integrating Select in this market and introducing new products including gummies, live resin and tinctures. In Oregon, we are focused on macro integrating Select in our established vertical operations with our 37,000 square feet of cultivation. Select remains the leading paper end in the market and we are committed to growing the brand profitably in a way that continues to earn customer and patient trust in Select home state. In Colorado, we recently announced the acquisition of BlueKudu, the producer of cannabis chocolate, baked goods and gummies that utilize high quality ingredients. Upon closing, Curaleaf will obtain an 8,500 square foot cultivation and processing facility as well as support the company’s planned expansion of the select brand in the Colorado. Select successfully launched there in January and we view this market as an attractive opportunity to build brand identity and gain market share to a robust market. Colorado is the second largest state in terms of cannabis revenue. In Utah, we have finalized the design and started construction on our new 7,500 square foot pharmaceutical grade processing facility in North Salt Lake City. We have submitted plans for our Curaleaf dispensary located in the City of Lehi where the geographic center of the Salt Lake City Provo Orem combined statistical area, which contains 82% of the state’s 3.2 million residents. We expect to be fully operational by the end of July. Finally, I would like to just add some additional color to the Select business. Since closing the acquisition at February 1st, we have been laser-focused on integration pursuing acquisition synergies and expanding the brand across some of these states. Much work is left to be done, including the realization of synergies to the sourcing of oil from several of our manufacturing facilities in existing states has also rolled out by the Select brand and certain key Curaleaf’s market. As part of our initiative to expand Select’s presence, we have introduced the brand in Maryland, Oklahoma, Michigan and Colorado, with seven new state launches planned by yearend. New products including Curaleaf and Select Nano Gummies and Select Elite Live have launched or are launching in Q2 in several states including Nevada, Arizona, Massachusetts and California. Nano Gummies made with Nano emulsion technology provides a faster onset and lighter offset than traditional edibles and offer a well predictable experience for the customer. These are the precise and calibrated effects in our products with a perfect microdosing solution and an optimal choice for consumers looking to try cannabis for the first time or for those seeking alternate consumption methods. We believe our nanotechnology is a game-changer for the edibles market and we are very optimistic about capturing additional share of new cannabis consumers, who see this as a more accessible product. Select Elite Live is a broad spectrum oil product addressing fresh chosen flower, capturing more essence of the living plant and a higher terpenes content, resulting in enhanced flavor. Currently available in Arizona, California, Maryland and Oregon, Select Elite Live will be available across the majority of Curaleaf’s network on Q3. Furthermore, we continue to make progress on expanding the Select brand in the states that Curaleaf does not currently operate in such as Oklahoma and Colorado. As Boris discussed, we envision Select as a national lifestyle brand and we are well on the way toward making this a reality. We continue to believe that over time we can materially improve both the topline and margin profile of Select as we integrate it into Curaleaf and expand the brand into new markets. In summary, I am pleased with our progress as we move through 2020. We are poised to deliver strong organic growth in our existing asset base and do targeted acquisitions such as Select, Arrow Alternative Care and the pending Grassroots deal. We are executing on all fronts, prudently deploying capital to key markets, expanding both our brick-and-mortar and online presence. We remain focused on growing our cultivation and processing, sales and marketing, and innovative and proprietary R&D. We deliver brands that resonate with our patients and lifestyle customers. We saw the fruits of this investment pay off in several key states as we exited 2019 and we firmly believe that our planned investment in 2020, many of which will be completed early in the second half of 2020, will yield strong growth both from the top and bottomline, leading to Curaleaf becoming free cash flow positive after all planned capital expenditures in the coming quarters. In summary, despite the challenging environment presented by COVID-19, we have managed to weather the situation extraordinarily well. Cannabis in general remained the bright spot in the consumer space and we are confident that Curaleaf remains one of the best positioned cannabis companies to emerge from the crisis, stronger than ever with momentum behind us to deliver strong growth in 2020. Now, I will turn the call over to Mike Carlotti, our new CFO to review our financials.
Mike Carlotti: Thank you, Joe, and good afternoon, everyone. First, I want to say how pleased I am to have joined the Curaleaf team at both a challenging an exciting time in the company’s history. Like Boris, Joe and the entire management team, I am very optimistic about Curaleaf’s future growth prospects. I have already spoken to several people on this call and look forward to getting to know each of you better over time. Looking at the first quarter, once again we posted record results as we remain focused on generating strong top and bottomline growth that we believe will drive long-term value creation for our shareholders. In the first quarter, we not only posted record pro forma and managed revenue, but also posted our fourth consecutive quarter of record positive adjusted EBITDA. Our broad geographic base and product diversity are key strength of Curaleaf, allowed us to deliver these results. First quarter results were driven by strength in Arizona, Florida and New York, as we continue to see strong growth in retail operations in these key states.  Vertical integration remains a key component to our strategy and we continue to increase cultivation capacity in each of our states of operation in those markets where we continue to see expansion of medical programs and/or ongoing discussions around legalizing adult-use consumption such as Arizona, Florida, New Jersey, New York and Connecticut. Our gross margins from cannabis sales expanded more than 460 basis points to 43% as compared to the first quarter of the prior year. The increase was primarily due to higher operating capacity of the company’s cultivation and processing facilities. As mentioned in previous calls, while we expect our gross margin from cannabis sales to trend upward, it will continue to fluctuate quarter-to-quarter based on our investment cycle and processing and cultivation as we continue to expand and bring new facilities online. Over time, we expect this fluctuation to moderate especially in the second half of 2020 as our investments continue to ramp and the capital intensity of our investments continue to moderate. In the first quarter, managed revenue more than doubled over last year to a record $105 million and was up 29% quarter-over-quarter. Total revenue for the quarter was a record $96.5 million, up 28% over last quarter demonstrating the strong growth that exists in both our core and managed business operations. In order to provide more clarity, this quarter we have provided a breakdown of retail, wholesale and management fee income as it pertains to total revenue. Select was acquired on February 1st and is contained in the wholesale revenue line. We reported record adjusted EBITDA of $20 million in the first quarter, up 45% sequentially and compared to a loss of $2.8 million for the first quarter of 2019. As Boris mentioned, the increase year-over -year primarily due to the continued scaling of operations and higher gross margins across several states, notably in Arizona, Florida, New York and New Jersey, offset somewhat by the continued investment in key markets where we are expanding to meet demand. Our retail and wholesale revenue more than doubled to $77.1 million during the quarter, compared to $27.8 million in the first quarter of the previous year. Management fee income was 160% to $19.4 million in the quarter versus the comparable prior-year period. The increase in retail revenue was primarily results of organic growth and new store openings in Florida, Massachusetts and New York. We grew our retail footprint to 54 dispensaries as of March 31, 2020, up from 43 on March 31, 2019. As of today, we operate 57 dispensaries with the inclusion of the three dispensaries we acquired in Connecticut on April 6th. SG&A for the quarter was $45.9 million, compared to $23.3 million in the prior-year period and $36.2 million in the prior quarter. Adjusted for onetime charges, SG&A in the quarter was $34.7 million, compared to $27.9 million in the prior quarter, or 33% of managed revenues, a decrease of 100 basis points compared to the prior quarter. As we continue to integrate Select, identify additional cost savings and scale overall operations, we expect our SG&A to decline as a percentage of managed revenue resulting in significant operating leverage. During the quarter, income tax expense was driven by increased deferred taxes associated with the increase in biological assets. Net loss attributable to Curaleaf Holdings for the first quarter of 2020 was $15.1 million, compared to a net loss of $10.2 million in the first quarter of 2019. Due to our acquisitive nature, we believe adjusted EBITDA is the best measure of our performance as it excludes the impact of $32.7 million of non-cash charges related to biological assets, depreciation and amortization and stock-based comp, as well as $11.2 million of one-time items, primarily relating to increased business development, acquisition and financing-related activities. We have provided a reconciliation of net loss to adjusted EBITDA in our press release this afternoon. Adjusted EBITDA for the first quarter of 2020 was $20 million, an increase of 45% over the fourth quarter and illustrates the operating leverage we continue to experience as we scale. Moving on to the balance sheet, as of March 31, 2020, we had $176.4 million of cash on hand, with the results announced today, our fourth consecutive quarter of positive adjusted EBITDA, we remain confident in our financial position and believe we have ample cash on hand to fund all of our current business initiatives to support future growth. Furthermore, several of our states continue to generate increasing operating cash flow, which paves the way towards generating significant organic cash flow. By the way, as Joe mentioned, we believe the capital investments that we made in 2019 and continue to make in 2020 will lead to Curaleaf becoming free cash flow positive after all planned capital expenditures in the coming quarters. Weighted average fully diluted shares outstanding were 507.7 million. Please note that we issued approximately 47.5 million shares to Select shareholders upon the closing of that transaction on February 1st. With respect to guidance, we respect -- we expect to report another record quarter of managed revenue for the second quarter of 2020, albeit at a slower sequential growth rate due to the temporary COVID-19 related restrictions placed on operators in Nevada through May 8th and the temporary closure of adult dispensaries in Massachusetts. These factors are expected to be offset somewhat by increased strength in key states such as Arizona and New Jersey. As such, we currently expect that managed revenues for the second quarter of 2020 will be approximately $120 million, reflecting sequential growth of approximately 14% and growth of approximately 118% versus the second quarter of 2019. It’s worth noting that the impact of temporary closures in Nevada and Massachusetts have reduced our expectations for the quarter by about approximately $29 million. This managed revenue guidance excludes any contribution from the proposed Grassroots transaction, which is expected to close at the end of June. On a pro forma basis, which would include Grassroots, we would estimate that our second quarter managed revenues will be approximately $165 million. This guidance assumes that we are working on our Marylands structure given the restrictions around the number of licenses that can be held within that state and takes into account the aforementioned impact of temporary closures. It is important to note that embedded in this overall guidance is the assumption that adult-use sales resume in Massachusetts on May 25th. Lastly, these expectations assume no further changes in the operating environment due to COVID-19 through remainder of the quarter. With that, I will turn the call back over to the Operator to open the line for questions.
Operator: [Operator Instructions] Our first question comes from Graeme Kreindler with Eight Capital.
Graeme Kreindler: Yeah. Hi. Good afternoon. Thank you for taking my questions here. The first question I wanted to follow up on the Q2 2020 outlook here. So you mentioned some of the states where you are seeing growth, some of the other states where it might be a bit weaker. I was wondering in terms of the dynamics with customer behavior. I think the discussion in the past has been about lower volumes and higher average basket sizes, given all the work you have done to implement various alternative methods for customers to transact. I am wondering if that dynamic has changed at all looking into Q2 and aside from the individual markets in the states, whether that actually is driving some of the growth as well. Thank you.
Joe Lusardi: Yeah. Graeme, this is Joe. I would -- thanks for your question. I would generally say that, we are seeing growth across the country. I mean, the only limiting factor frankly in Q2 is the fact that Massachusetts effectively shut us down for 10 weeks and we lost a lot of momentum in Nevada. But in terms of momentum, it’s building across the country, and yes, we are definitely seeing a change in consumer behavior. We are implementing new strategies, including curbside pickup and electronic payments and we are seeing the basket size continue to increase when people use electronic payment, so that’s an encouraging trend. So, I think, generally, we feel very good about where the business is and the trends across the country, the growing demand, even in a state like Massachusetts you saw a 250% increase in medical registration. So the consumers want this product, right? I mean, this isn’t complicated and the demand’s going to continue to build. We need to build capacity to meet that demand and if we do we are going to be very successful.
Graeme Kreindler: Okay. Thanks for that. And then just to follow up, is there anything or any sort of numbers you have to quantify whether these various initiatives you have implemented like curbside, express pickup, things like that whether that’s actually increased the average throughput?
Joe Lusardi: It certainly has reduced transaction time. I mean, it’s hard to give metrics given our diversified our portfolio is and how different we operate in every state. But I think where we have implemented curbside it’s certainly reduced the transaction time and we have definitely seen the basket size increase almost consistently across the country.
Boris Jordan: Our average basket size is up 7% since the least quarter with visitation discount slightly on average.
Graeme Kreindler: Okay. Great. Thank you. And then my last question here and then I will jump back in the queue. Looking at the pro forma revenue sequentially quarter-over-quarter, if my math’s correct, the pro forma revenue was up about 12%, which is a significant increase from the previous period where we saw that 2% growth. But that bridge, I think, has gone from a -- to about $47 million that was previously $50 million, the bridge from the managed revenues. So I was wondering if you could give a bit of color in terms of some of the parts on that pro forma revenue, especially on the bridge and from the various entities included in that, which you have seen quite an acceleration or above expectation acceleration with the conditions because of COVID and which might have lagged a bit there? Thank you.
Mike Carlotti: Yeah. Sure. This is Mike. So on the first part, you are correct. The bridge from $119 million of managed revenues expectations to pro forma includes organic growth of about 15% and then the rest of the delta between managed and pro forma is a result of Grassroots. There’s a couple of days of Arrow in there but it’s kind of a rounding error.
Graeme Kreindler: Okay. Thanks. I will get back in the queue.
Operator: Our next question comes from Vivien Azer with Cowen and Company.
Harrison Vivas: Hi all. This is Harrison Vivas on for Vivien. Thanks so much for taking the question and congrats on the strong quarter. As the number three player in Florida, we were interested to know the recent New York Times analysis that showed you exited from Manhattan particularly over indexed Florida. Can you comment on the impact of this consumer migration had on to much revenue trend in that key market? Thanks.
Joe Lusardi: What I will say generally is that we think Florida is going to continue to be one of the fastest growing cannabis markets in the country. It’s hard to quantify the migration from New York and how many new patient registrations were result of that. But I think if you look at the state data, the new registrations continue to go up. So we are very encouraged by that market. Clearly, for Curaleaf, when we bring on our new 50,000 square foot cultivation facility, we will be able to bring a lot more to fly into the -- into our stores, we are going to open up another dozen stores this year. So we are very -- we are working very hard down there to grab market share and we think that the market potential is quite strong for the foreseeable future not to speak of adult use, which could be on the horizon in a couple of years as well.
Boris Jordan: I would just add that on New York, that we are only seeing strength quarter-to-quarter in New York. New York is really picking up to be one of our better states and that’s not necessarily the case for all the other operators. We have seen a lot of operators actually as they shutdown stores or bring down the hours that our stores are operating. In our case actually, we have seen the reverse. We are seeing quarter-on-quarter substantial growth in New York. And New York is one of the largest, I think, it’s the second largest black market for cannabis in United States after California and as we continue to see those patients or those customers moving over to either the medical market or what we expect fully after New Jersey improves in their ballot in November, adult use, we suspect New York will go very, very quickly after that and we will see a fairly large potential for growth in the New York market.
Harrison Vivas: That’s very helpful. Thanks. I will jump back in the queue.
Operator: Our next question comes from Matt Bottomley with Canaccord.
Matt Bottomley: Good evening, everyone. Thanks for taking the questions and congrats on a very strong quarter. Just two questions for me, one relates to Select, the other ones with Grassroots. Joe, you gave some very fulsome commentary in the operations state-by-state, so apologies if this might have been mixed in that or if I missed that in the mix. But just wondering on Select, given what you have seen last quarter with some rebounding compared to the headwinds we saw throughout 2019 with vaping, where did that segment of the business fall when it comes to maybe that 12% growth that we saw on a pro forma. Did it outperform, underperform, was it in line, and sort of any other anecdotes with respect to where you see that going in addition to your prepared remarks on that state-by-state basis?
Joe Lusardi: Yeah. We are very encouraged with how Select is performing. We definitely think that even in core -- even in challenging markets like California, we have managed to get back to growth mode as we launched new products like live resin and gummies. And so the business is definitely on the growth trajectory, we have also brought in a couple of new markets. So we are very encouraged overall about consumers going back into the vape category and also be willing to try the brand out in different form factors. In terms of where Select can go, I think it’s important to say that in its core markets where Curaleaf operates, we are going to vertically integrate it, which we have already -- we have talked about to improve the margins. But more importantly, we are aggressively moving the brand across the country. So I think it’s kind of early to really talk about Select other than to say that we have big plans for it. It’s going to be a national brand. It’s going to be in New York, Florida, Boston, all the major markets this year and we see a really unique opportunity to build the first national cannabis brand. So we are very happy with how it’s going and we are excited about where we can take the brand.
Boris Jordan: Yeah. I would just add to that, if you include January, which we didn’t own the company, but if you include it in the quarter, the Select business did see sequential growth over the fourth quarter of 2019.
Matt Bottomley: Perfect. Thank you. That’s helpful. And the follow-up is just on Grassroots, so a couple of parts to this question but feel free to answer what you can. One is just on the risk of closing. So we have seen in the past with within the sector, one state can kind of gum up the works. I think Oregon has been a bit of an issue in the past. So just wondering if there’s any state within Grassroots and understood that both parties within the deal have done everything they need to do. But just with respect to the regulator signing off, if you think there’s any sort of trouble state in that that’s an outsized risk. And then the second part of that question is if you could just comment on if it were to be consolidated and be in operations tomorrow, where is their EBITDA profile or they are already EBITDA positive, much like yourselves? And then also access to capital. I understood there was some real estate within Grassroots that potentially could be spun off for sale and leaseback. So anything you can answer in those sort of types of questions would be helpful?
Mike Carlotti: So, I’d like to start out by saying that, one the -- let’s start with the last question. We don’t have any capital problem for Grassroots. Clearly, we have enough capital in Grassroots to build out the rest of their facilities and so we don’t see a real need for Grassroots today for capital. As far as closing, I just want to make one point. Curaleaf has closed every deal we have ever announced. So I don’t think we get a lot of credit for that but if we announce a deal we are going to close it. Now there’s always circumstances that can stop it, extraordinary circumstances in the deal. But we typically treat transactions very seriously and we don’t go out announcing deals must move have full intention to close. So, we fully expect to close grassroots to be honest. I think we see a light at the end of the tunnel in terms of closing at the end of the second quarter. I think it’s actually a little better than we originally anticipated when we were doing the first quarter. We thought that it might drag out into the third quarter due to the COVID situation. We made a lot of progress on the transactions since our last call in March and we do expect the transaction to close at the end of the first quarter.
Joe Lusardi: End of the second quarter.
Mike Carlotti: Sorry, end of the second quarter, end of the second quarter.
Matt Bottomley: Perfect. And any other commentary on the potential existing EBITDA profile, which I think you touched on.
Mike Carlotti: Yeah. So they are, so they are EBITDA positive but we will not give any more color until we consolidate them but that would be incorrect for us to do. But Grassroots is EBITDA positive.
Matt Bottomley: Great. Thanks so much.
Operator: Our next question comes from Robert Fagan with Stifel GMP.
Robert Fagan: Hey, guys. Thanks to the question and congrats on a great quarter there. I thought I’d just want to focus a bit on the gross margin performance, very solid in the way we looked at it ex-IFRS adjustments, ex-depreciation. We calculated somewhere in the 56% area and up from Q4. And I was just wondering if you could talk to that in light of the contribution from Select, which I believe has historically lower gross margin in standalone Curaleaf. So, what’s going on in that Q1 gross margin improvement, if you could give us some color it’s be great?
Mike Carlotti: Yeah. Sure. I will start. This is Mike. As we have mentioned, the Select margin profile is not the same as Curaleaf just given its wholesale business and not a retail business. And so that would have an impact on our gross margin. However, as we continue to scale up in several of our key markets, we are seeing gross margin improvements in -- out of our key states.
Robert Fagan: Okay. Great. So good benefit of your platform diversity there. And I was just wondering if you guys could comment a little bit on the onetime charges that were included in Q1 EBITDA, any additional detail there would be helpful?
Mike Carlotti: Yeah. Most of the Q1 onetime charges were mainly due to the closing of Select, which included legal and advisory fees. There was also some certain onetime litigation fees that were incurred in the quarter as well, that went into that number.
Robert Fagan: Great. Thanks again, Mike. One last quick one if I could get it in. Is there some updated time for closing of ATG, realizing that Massachusetts had slowed up to COVID? But is there an updated timeline for that acquisition and seeing how it’s performing probably quite well after the closures, it will be great to kind of get that integrated.
Joe Lusardi: Yeah. Robert, this is Joe. I mean, the deal has been filed with the regulators for many months now. The transaction is being reviewed. We fully expect it to be approved. But obviously the COVID-19 puts a little bit of uncertainty into the exact timing. We will consolidate those assets. They are performing quite well. In general, Massachusetts is -- prior to being shut down was, well, probably, our strongest market in the country really excellent gross margin and EBITDA margin. So, in general, we are very bullish about that deal and eventually we will get over the finish line, just, look, timing is a little bit out of our control, but we are working hard with the regulators to get it over the finish line.
Boris Jordan: And I think the good news, Robert, is that we -- the governor stepped up this morning and I am sure you read the news that he has allowed us to open up as of the 25th of May and so that’s really, really good news for everybody in Massachusetts.
Robert Fagan: Okay. Great. Thanks again.
Operator: Our next question comes from Matt McGinley with Needham.
Matt McGinley: Thank you. My question is on the wholesale revenue growth, specifically the revenue in that segment went from $9 million to $20 million from the fourth quarter to the first quarter and that included two months of Select, which I think would imply a run rate of that business as probably $65 million or $70 million and I remember the earn-outs I thought the base of that was around $130 million. So just curious directionally that’s where that business is at today and is there anything different sequentially that that -- other than that I think you said was up sequentially that, is there anything different with that business in terms of how it looked in the fourth quarter versus the first quarter that would make that great much lower than what I think at least announced where from last year?
Mike Carlotti: Sure. This is Mike. So remember obviously we only had two months of Select in the quarter and also as the adult businesses in Massachusetts were shut down for a period of time during the quarter that had a negative impact on our adult, I am sorry, our wholesale revenues in the state of Massachusetts. So you can’t simply look at the delta between wholesale revenues in Q4 versus Q1 and presume that that delta is all Select, because there are other movements in our wholesale business, namely, overall, good, but obviously, Massachusetts was a slowdown in wholesale revenue sequentially because of the shutdown.
Neil Davidson: Yeah. And it’s very important to understand…
Matt McGinley: Got it.
Neil Davidson: It’s very important to understand that a lot of the wholesale across the country take place at the end of a quarter. So the last two weeks are typically the busiest two weeks of any quarter of wholesale were four quarters and so we have had both in the fourth quarter -- of third quarter of last year where we had vape prices and the shutdown of vape sales in Massachusetts. And then of course with COVID at the end of the fourth quarter where our wholesale sales were halted in Massachusetts at the end of the first quarter also had an impact on that. So I think that we are expecting very, very large scale pent-up demand in Massachusetts in June as we reopen here on May 25th and we fully expect to sell anything we could possibly produce in Massachusetts. And as Joe said, we have an expansion of our existing cultivation coming onto the market here at the end of the quarter as well. So we anticipate that we will have plenty of product in order to be able to supply the wholesale and our retail stores.
Joe Lusardi: Just add to that, the news at the old site on Massachusetts when the adult dispensaries open back up, they will allow for out-of-state residence to visit those dispensaries or curbside pickup.
Matt McGinley: Thank you. And on the G&A dollars, accordingly excluding the onetime items, the dollar gross you kept pretty tight on that certain help the rate. How about looking at the second quarter with the issues that you noted with Nevada and Massachusetts and probably COVID as well, I mean would you expect to have deleverage on that in the next quarter or is it pretty flexible with those costs in those states where you are going to have the revenue drag?
Mike Carlotti: Yeah. We certainly expect that there will be a drag on margins in Q2 in Nevada and Massachusetts. Nevada is a relatively small state for us, probably about 10% of revenues in the normal operating environment, but Nevada we will see a negative impact to its gross margin given the restrictions that were put on there in that state. Massachusetts gross margin will probably remain relatively similar. But gross margin dollars given the size of Massachusetts relative to other markets will bring gross margin dollars down. Margin compression from those two states, however, will be somewhat offset by increasing margins in Florida, Arizona, Connecticut and New Jersey.
Matt McGinley: Very good. Thank you very much.
Operator: Our next question comes from Neal Grimer with Haywood Securities.
Neal Grimer: Yeah. Good evening. Number of the questions has been answered but maybe just to clarify on the Florida market you commented about 12 stores opening between now and the end of the year. Is that mostly a second half of the year story with respect to you going to be waiting for your cultivation facilities to increase before we see many more store openings in the Florida market?
Joe Lusardi: Yeah. We have got a 50,000-square-foot expansion that’s going to be completed here in June and loaded up in July. So that will harvest at the end of September, and I think, the time will wind up pretty well with that new capacity coming on line. I mean, Florida is a great market and it’s a high class problem, but we are supply-constrained and every time we put products on the shelves they move. So I think the more products we make, the more we will sell and that bodes well for those store openings later this year.
Neal Grimer: Great. Thanks very much.
Operator: Our next question comes from Bill Kirk with MKM Partners.
Bill Kirk: Hi. Thanks for taking the questions. I have two that are Select related, when you are putting the Select brands on your shelves, what products are coming off, so what are you replacing when you put that brand out in your retail stores?
Joe Lusardi: We think that Select is a net new brand and it speaks to a different consumer, particularly an adult use market. So we think there’s room for both. If you think about our brand architecture, we are really building Curaleaf as a wellness brand and Select as an adult use brand in a market like, for example, in Massachusetts, we think that works really well, markets that have both medical and adult-use, we think that brands need different occasions. And so I think that they don’t necessarily knock out anything. You also have to keep in mind that Curaleaf is primarily vertical and so the vast majority of the stuff that we sell in our stores is our own products. And so it’s really just a function of making space in our shelves for a different brand and you are trying to get a different consumer with that product. So, for example, we will launch Select aggressively in Florida here this summer. I think that will create a lot of excitement. We are going to bring Select into New York. I think that will create a lot of excitement, potentially bring new consumers into the category. So we don’t think that it’s one or the other. We think most grants can be really successful.
Boris Jordan: Yeah. And they target a different audience -- the different customers, sorry. I mean, Select -- the average age of Select customer is sort of mid-30s. The average age of a Curaleaf customer is around 50 and they are really looking for different experience. One is looking for a product that could help them sleep in the form of a wellness product or help them pain-manage or help them the various ailments that they have. And on the Select side, it’s really a recreational user. So among those are users of cannabis on a regular basis for recreational purposes. So they are targeting different audiences and what that’s going to do is it’s going to allow us to really have the full spectrum of customers from the younger customer in their 30s, late 20s and 30s to the older customers that are more used to that sort of Curaleaf product, which more as the -- more sort of skews with lower THC or very, very high THC depending on the conditions. But really is geared at dealing with wellness rather than recreational use.
Bill Kirk: Okay. That’s it for me. Thank you.
Operator: Our next question comes from Russell Stanley with Beacon Securities.
Russell Stanley: Good afternoon. Thanks for taking my question. Just first on Nevada, when you look at the business now and the pre-COVID shutdown business, understanding you are modest around focusing on local residents. How much gain -- how much ground have you taken back in that market with the addition of curbside that would allowed?
Boris Jordan: Yeah. I think in Nevada, I think, one of our advantages that we -- as you pointed out, we did have a long strong local presence. I think the business is calm almost all the way back from where it was. But I think that we definitely don’t anticipate a tremendous amount of growth until the strip get back in the action, right? I mean, both of our stores are in great construction made to the strip and hotel, casinos and restaurant and clubs, all the workers that support that industry aren’t really coming in to the strip area. And so we are feeling good that the business is on solid footing, but to get it back in the really strong growth mode is going to require the strip to really lighten up again.
Russell Stanley: Understood. If I could sneak one more in there just on Pennsylvania and the clinical registered program. The game play here have you If you go to build up plan there when you are waiting on the grassroots and understand your position in Pennsylvania and trying to work that in tandem with the combined company, any color on that strategy would be helpful?
Boris Jordan: We are going to steam ahead on Pennsylvania. We have secured a building in King of Prussia that we frankly have secured for a couple of years now. The corn shell was already built and now we are just doing the internal fit. We have already secured and are working on three of our six dispensaries for the clinical registering program and we think that actually -- it plugs in quite nicely what Grassroots is doing and so we really anticipate using all of that those stores and that license to capture the market. As you are aware, Pennsylvania is you know among the fastest growing markets in the country. Grassroots has a really nice business there and they are building more capacity. So I think we are going to have a really strong leading presence in Pennsylvania going forward.
Russell Stanley: Excellent. Thanks for the color.
Operator: Our next question comes from Pablo Zuanic with Cantor Fitzgerald.
Pablo Zuanic: Thank you and good afternoon, everyone. Look, just two questions on Grassroots. I understand that this asset loss so you can’t give a lot of detail. But all the pro forma number, the difference between the $165 million and $120 million for the second quarter is Grassroots, right? So that’s $145 million revenue. We don’t know exactly what it was in the first quarter. I wonder if you can share that. But I am looking about, on my math, of 40% growth sequentially for Grassroots in the second quarter and that’s great, but I am surprised based on comments from other companies and the fact that Illinois is up only like 4% in April versus March. So if you can give some color around that, was it a big capacity increase or what’s going on…
Boris Jordan: Yeah. Let me…
Pablo Zuanic: …first. Thanks.
Boris Jordan: Yeah. Let me address that. So the first thing is that in the case of Grassroots they have been aggressively building out their Illinois and their Maryland and Pennsylvania cultivation facilities. They have now finished their Maryland cultivation facility ad I believe it’s harvesting as we speak. They are finishing up their new Illinois and new Pennsylvania cultivation facilities here in May and so most of the capacity in both Illinois and in Pennsylvania for Grassroots will hit the market in early and mid-third quarter. So you are going to see step-up growth, substantial step-up growth from Grassroots in the third quarter.
Pablo Zuanic: Okay. And related to that, do have a sense roughly of what share you are going to have by the third quarter of capacity in Pennsylvania and off stores, just roughly from the two combined operations, just rough?
Boris Jordan: I am not sure I can say that but, Joe, if you -- I don’t know, are we allowed to say that or not, I am not sure.
Joe Lusardi: Well, Grassroots has nine stores operational in Pennsylvania today with our clinical registrant license that will take us to 15 stores. That will be the leading footprint of retail stores in Pennsylvania and I believe Grassroots as a leading wholesale brand as well. So I think that, I would say that they are the number one player or among the one or two players in Pennsylvania.
Pablo Zuanic: Thank you. I know it’s late in the call but I want to squeeze two more. Just on the accounting point of view, when those MSAs are consolidated, you get like a doubling of revenue, right, because you are generating the fee on the -- on what you call managed revenue and then when you consolidated you are reflecting the full gross revenue, so correct me if I am wrong. If you can also verify what’s the pro forma share count now if we factor Grassroots? Thank you.
Mike Carlotti: Yeah. Pablo on the accounting supplement, we can cover that in our call later today because it’s -- that can get timely. But in terms of the share count we had 557 million shares outstanding weighted average at the end of the quarter. Now, obviously, there will be more shares as Grassroots but we really haven’t gotten through. We haven’t talked about how that’s going to work yet.
Pablo Zuanic: Okay. Thank you.
Operator: Our final question today comes from Aaron Grey with Alliance Global Partner.
Aaron Grey: Hi, guys. Thanks for the question. Congrats on the quarter. Just one from me, just in terms of where you guys stand right now pretty comfortable from a capital position. Just anything guys beyond the M&A front. Are there any markets where you feel like might need to or want to deepen your penetration through some potential smaller tuck-in acquisitions. Just anything on that, I know you are pretty diverse geographically right now but since one more just markets, you might want to deepen your presence? Thank you.
Joe Lusardi: So, we are very active on the M&A front. As you saw we announced and closed the Arrow transaction in Connecticut at the end of the first quarter, beginning in the second quarter. But we have several bids out outstanding for different tuck-in acquisitions across the country. Our strategy is very much to continue to grow our market share in the most important states in our franchise. I will tell you that our Curaleaf’s position is we want to be number one in every single market that we operate in on a market share basis. So that could tell you where we are focused, right? In most of our states we have that position, but there’s two or three states where we are not that there at this point in time, and we are very focused on those states in order to bring our market share position to the number one position. And so we are very, very active and we are looking at multiple tuck-in acquisitions in different states where we want to grow our positioning and our market share.
Aaron Grey: Okay. Thanks very much.
Joe Lusardi: Yeah.
Operator: This concludes our question-and-answer session and I would like to hand the call back over to Daniel Foley for any closing remarks.
Daniel Foley: Thank you, Operator. Thank you for joining us today. We would like to invite those of you listening to join us at upcoming conferences and events which are posted on our website in the Investor Relations section under Events. But also would like to let you know that we have sent out our first Curaleaf IR newsletter, a quarterly update you can see by signing up for email where it’s on the website. We certainly welcome your feedback on that. We look forward to speaking with you at these events or on our second quarter 2020 results conference call. Stay well and safe. Thank you for joining us everyone.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.